Operator: Welcome to MasTec's Fourth Quarter 2021 Earnings Conference Call initially broadcast on Friday, February 25, 2022. Let me remind participants that today's call is being recorded. At this time, I would like to turn the call over to our host, Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
Marc Lewis: Thank you, Christina, and good morning, everyone. Welcome to MasTec's fourth quarter earnings call.  The following statement is made pursuant to the safe harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec's future results, plans and anticipated trends in the industries where we operate.  These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call. And the company does not undertake to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press release and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications.  In today's remarks by management, we will be discussing adjusted financial metrics reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures on this call. A reconciliation of any non-GAAP financial measure not reconciled in these comments to the most comparable GAAP measure can be found in yesterday's Q4 earnings press release.  With us today, we have Jose Mas, our CEO; and George Pita, our Executive Vice President and CFO. The format of the call will be opening remarks and announcements by Jose, followed by a financial review from George. These discussions will be followed by a Q&A period. And we expect the call to last about 60 minutes.  We had another great quarter and have important things to talk about today, so I'll go ahead and turn it over to Jose. Jose?
Jose Mas: Thanks, Marc. Good morning, and welcome to MasTec's 2021 Fourth Quarter and Year-End Call. Today, I'll be reviewing our fourth quarter and full year results as well as providing my outlook for 2022 and the markets we serve.  I'd like to start today by thanking the men and women of MasTec. Their sacrifices and hard work helped us achieve another record year of revenue and EBITDA. I am honored and privileged to lead such a great group. The men and women of MasTec are committed to the values of safety, environmental stewardship, integrity, honesty and in providing our customers a great-quality project at the best value. These traits have been recognized by our customers. And it's because of our people's great work that we've been able to deliver these outstanding financial results in a challenging environment and position ourselves for continued growth and success.  Now some fourth quarter highlights. Revenue was $1.8 billion. Fourth quarter adjusted EBITDA was $219 million and fourth quarter adjusted EPS was $1.35. For the full year, 2021 revenue was $8 billion, 2021 adjusted EBITDA was $931 million, 2021 full year adjusted earnings per share was $5.58 and cash flow from operations for the year was approximately $800 million.  In summary, we had a good quarter and another great year. While quarterly results were generally in line, we enjoyed solid quarterly year-over-year growth in our non-Oil and Gas segments with revenues increasing 43% and non-Oil and Gas EBITDA increasing 75% during this year's fourth quarter compared to last year's fourth quarter.  With that said, we were impacted by both inflation and supply chain issues in our business. Revenue would have been higher and was impacted by delayed material availability causing project delays, primarily in our Communications and Clean Energy segments. I'd also like to point out that our fourth quarter EBITDA was achieved despite a year-over-year Oil and Gas EBITDA reduction of nearly $115 million.  As we've discussed over the last year, our priority and focus in MasTec has been to diversify our business and grow our non-Oil and Gas segments and really transform our earnings mix. Our true success in 2021, irrespective of our financial performance, was our ability to position our company for significant long-term growth and earnings potential.  For 2022, we expect our non-Oil and Gas segment -- or we expect our Oil and Gas segment to be our smallest revenue-generating segment and comprise no more than 20% of revenue. We expect our Communications, Power Delivery and Clean Energy segments to collectively grow revenue by approximately 50% compared to 2021 and EBITDA by almost 85%. While we would obviously like to see the transition happen faster and quite frankly with less hiccups along the way, we are convinced that the MasTec of tomorrow is much better positioned to enjoy growth opportunities and margin expansion opportunities than we've ever been.  Before getting into segment specifics, I'd like to touch on 2022 guidance for a moment. Just over a year ago, towards the end of 2020 and still in the middle of the pandemic and in the midst of a changing and challenging oil and gas environment, we laid out a path and a goal to ultimately achieving a $10 billion revenue run rate. While the goal is longer term in nature, in 2021, we made a number of acquisitions that we think position us very differently and have significantly improved our growth potential.  Today, we are excited and proud that our 2022 revenue guidance is approximately $10 billion in revenue. I can guarantee you that when we laid out that goal in 2020, we didn't think we'd be here 15 months later. More importantly, as we dissect the revenue guide, we are confident and optimistic that every segment will enjoy further growth in 2023 and beyond. The size and number of opportunities continues to grow and expand. We are responding to this opportunity and continue to invest in our business.  Full year EBITDA guidance is approximately $950 million. Assumptions in the guidance include Oil and Gas revenue reducing by approximately $600 million and an approximately $275 million reduction in EBITDA. The reduction in revenue is offset by approximately $1.5 billion in revenue associated from the Henkels & McCoy acquisition that we announced in December and over 20% growth in each of the other non-Oil and Gas segments. The EBITDA offset is comprised by the acquired Henkel EBITDA and margin improvements in each segment that George will cover later.  Our revenue guidance today assumes low double-digit year-over-year growth in the first half of the year, mostly the impact of the acquisitions, then over 35% year-over-year growth in the second half of 2022. Our first quarter on a year-over-year basis is impacted by a reduction of $508 million in revenue in Oil and Gas and a $143 million EBITDA reduction in the segment.  Part of this reduction was caused by a delay on the Mountain Valley Pipeline, which was supposed to originally start in February. Our guidance now assumes activity late in the year. As 2022 progresses, I am confident we will be able to demonstrate the improved growth opportunities and margin in our business. As we prepare for significant growth during the year, we will exit 2022 at a very strong run rate, which will set us up for a very strong 2023.  Now I'd like to cover some industry specifics. Our Communications revenue for the quarter was $682 million, a 20% year-over-year increase and a sequential increase over the third quarter, which is atypical. During the fourth quarter and early in the first, we have expanded into 18 new geographic wireline fiber markets, which will represent over $125 million of our 2022 segment growth, in addition to strong expansion in our current markets.  We have also continued to diversify and grow our wireless operations and experienced solid growth in 2021 with T-Mobile, Verizon and DISH Network. Just yesterday, DISH Network announced their intent to launch markets by the June of 2022. Today, we are working in 17 of those markets. As AT&T increases its build plan towards the second half of 2022, we will have a much broader and diversified service offering with all of the major carriers in a very active build cycle.  We expect 2022 Communications revenues to grow nearly 25% year-over-year. Backlog is up over 20% year-over-year to a record level of $4.5 billion. And while we have seen some impact from the Rural Opportunity Fund, the vast majority of infrastructure and rural dollars available for broadband expansion have yet to be awarded. We continue to enjoy significant growth opportunities in this segment and are working with a number of customers as they work through their future build plans.  Moving to our Oil and Gas pipeline segment. Revenue for the quarter was $335 million versus $600 million last year. Margins were again strong for the quarter as mix was favorable. Looking ahead at 2022, guidance is $1.8 billion to $1.9 billion, which includes a couple hundred million from the Henkels acquisition. We expect 2022 to be a trough year in this segment. While commodity prices have significantly increased and we believe the need and demand for infrastructure will increase, reactivating projects is time-consuming, making 2022 project starts difficult.  For example, customers are facing challenges with pipe delivery schedules based on supply chain issues. With that said, we are in a number of discussions with customers about projects we believe will be built in '23 and beyond. We expect award activity to pick up significantly in the second half of 2022. Awards, coupled with the continued growth of carbon capture and sequestration and the potential of hydrogen, have improved our longer-term outlook of our pipeline business.  Moving to our Power Delivery segment. Revenue was $285 million versus $126 million in last year's fourth quarter. The growth was largely driven by the INTREN acquisition. At year-end, we announced the acquisition of Henkels & McCoy, one of the largest private electrical power transmission and distribution utility contractors in the United States. With the combined acquisitions during 2021, we have transformed this segment into a significant growth engine for MasTec with significant margin expansion opportunities.  In 2020, this segment generated just over $500 million of revenue. In 2022, we expect revenue for this segment of over $2.5 billion. This segment will represent over 25% of MasTec's revenue. More importantly, the scale we have been able to create positions us as a leader in the market with great opportunities ahead.  With changes in electrical transmission and distribution needs, our customers have a clear goal of modernizing the power grid with a focus on reliability, fire hardening, renewable connectivity, including both wind and solar, and growth in electrical vehicle usage. Our combined service offerings allow us to provide our customers with cost-effective solutions at scale to meet their demands. While early in our integration efforts, feedback from our customers have been excellent. And we look forward to providing a differentiated solution in the market.  I'd also like to take this opportunity to again welcome all of the Henkels & McCoy team members to the MasTec family. While it's only been 2 months, I believe the energy and collaboration have been very motivating. And I can say with confidence, after having spent time with their members, that the benefits and potentials of this transaction are far greater than we expected.  Moving to our Clean Energy and Infrastructure segment. Revenue was $515 million for the fourth quarter versus $346 million in last year's fourth quarter. EBITDA margins improved to 6.8% in the fourth quarter versus last year's fourth quarter of 3.2% and sequentially from 2.7%. While margins were much improved, we did have a couple of projects slip due to material deliveries. In 2022, we expect another strong year of growth with growth approaching 25% and full year margins approaching 7%. While backlog is up nearly 50% year-over-year, the reality is backlog doesn't reflect the true strength of the market.  We are working under a number of LNTPs, limited notice to proceeds, while we finalize pricing and schedules and the value captured in backlog is only a fraction of the total contract value. Outstanding verbal awards and negotiations actually exceed the total backlog for the segment. This level of activity is without infrastructure-related dollars that have not yet been allocated. We expect that to be yet another catalyst for our infrastructure business. We believe our diversification is our strength in this segment. And we are capable of meeting any of our customers' demands.  We are actively working on renewable projects, including wind, solar and biomass, baseload gas generation projects, including dual-source hydrogen-capable projects as well as our growing presence in the infrastructure market. With a clear national focus on sustainability and clean energy, we have seen a significant increase in planned clean energy investments from our customers as they improve their carbon footprint. As a leading clean energy contractor and partner, MasTec is uniquely positioned to benefit from these investments.  To recap, we had another great year. While times can be challenging and uncertain, opportunities always arise from these challenges. Our customers are looking for ways to change and improve their business models and are looking for strong partners to help them. In that lies our opportunity. Our greatest strength has been to understand the trends in our industry and our customers' needs. Our ability to provide services, whether existing or new, has always been a strength. I'm excited for what the future holds for MasTec.  I'd like to again thank the men and women of MasTec for their commitment to safety, their hard work and their sacrifices. Keep up the good work. I'll now turn the call over to George for our financial review. George?
George Pita: Thanks, Jose, and good morning, everyone. Today, I'll cover our 2021 fourth quarter and annual financial results as well as our updated 2022 guidance. As Marc indicated at the beginning of the call, our discussion of financial results and guidance will include non-GAAP adjusted earnings and adjusted EBITDA. Reconciliation and details of non-GAAP measures can be found on our press release.  Fourth quarter results were generally in line with our guidance with a 10.5% increase in revenue to $1.8 billion, adjusted EBITDA of approximately $219 million and adjusted EBITDA margin rate at 12.1% of revenue. Fourth quarter '21 diluted earnings were $1.35 per adjusted diluted share, $0.02 per share above our guidance. These results capped a strong year with record annual 2021 revenue increasing 26% and approximating $8 billion and record adjusted EBITDA at $931 million or 11.7% of revenue.  As expected, fourth quarter 2021 non-Oil and Gas segment results showed significant improvement with revenue growing 43% or $440 million over the prior year and adjusted EBITDA growing 75% or $56 million. On a rate basis, year-over-year non-Oil and Gas segment results improved 170 basis points to 8.9% of revenue. On a sequential basis, non-Oil and Gas segment adjusted EBITDA margin rate results improved approximately 120 basis points over the third quarter despite slightly lower revenue levels.  As we have indicated in the past, mega trends in telecom, wireline and wireless as well as in power generation and delivery as the nation moves towards carbon neutrality provides significant growth opportunities across our non-Oil and Gas segments. And we expect continued improvement in these segments during 2022 and beyond.  We continued our strong cash flow from operations performance during the fourth quarter and generated $793 million in cash flow from operations for the annual 2021 period. Importantly, despite approximately $1.5 billion in 2021 acquisition investments, we ended the year with ample liquidity of over $1 billion and comfortable leverage metrics. In a testament to the strength of MasTec's cash flow profile and working capital management, we are proud that Moody's, S&P and Fitch have all recently granted us an investment-grade credit rating despite the significant 2021 cash outflows for M&A.  Now I will cover some more detail regarding our segment results and expectations. Fourth quarter Communications revenue was $682 million with an adjusted EBITDA margin rate of 11.2% of revenue, a slight improvement over the same period last year and a sequential improvement of 50 basis points when compared to the third quarter. Annual Communications segment revenue was $2.55 billion and adjusted EBITDA margin rate was 10.6% of revenue. As we look forward, we expect that annual 2022 Communications segment revenue will range between $3.1 billion to $3.2 billion, a 20% to 25% growth over 2021. Annual 2022 adjusted EBITDA margin rate is expected in the low to mid-11% range.  We expect slower first half 2022 year-over-year Communications segment revenue growth, somewhere in the high-teens to low 20% range with accelerating second half 2022 year-over-year revenue growth in the mid- to high 20% range. First half 2022 Communications segment adjusted EBITDA margin rate is expected in the high single-digit to low double-digit range with second half 2022 adjusted EBITDA margin rate expected to accelerate in the mid to high 12% range.  Within expected first half '22 results, we expect meaningfully lower revenue and adjusted EBITDA margin rate performance in the first quarter due to the combination of wireless revenue pushing out of the quarter, new market start-up costs as we initiate new RDOF wireline market operations and the impact of low-margin acquired Henkels & McCoy revenue. We also expect ramping revenue growth and adjusted EBITDA margin rate performance thereafter as the year progresses.  Fourth quarter Clean Energy and Infrastructure segment, or Clean Energy, revenue was $515 million and adjusted EBITDA was approximately $34.7 million or 6.8% of revenue. Annual Clean Energy segment revenue was approximately $1.9 billion and adjusted EBITDA margin rate was 4% of revenue. Fourth quarter Clean Energy revenue grew 49% over last year and adjusted EBITDA margin rate grew 360 basis points to a 2021 high of 6.8% of revenue. Sequentially, Clean Energy segment adjusted EBITDA margin rate improved 410 basis points over the third quarter.  As we look forward, we expect that annual 2022 Clean Energy segment revenue will range between $2.3 billion to $2.4 billion based on our updated view of project timing. Annual 2022 adjusted EBITDA margin rate is expected in the mid-6% to low 7% range, a substantial improvement compared to 2021. We expect stronger year-over-year 2022 revenue growth and adjusted EBITDA margin rate performance in the second and third quarters based on project timing and seasonality.  Fourth quarter Oil and Gas segment revenue was $335 million and adjusted EBITDA was approximately $81.3 million. As expected, this was a substantial year-over-year decrease with fourth quarter adjusted EBITDA decreasing $115 million when compared to the fourth quarter last year. Annual 2021 Oil and Gas segment revenue was approximately $2.5 billion with adjusted EBITDA margin rate at 21.9% of revenue. As we look forward, we expect that annual 2022 Oil and Gas segment revenue will decrease and range between $1.8 billion to $1.9 billion. Annual 2022 adjusted EBITDA margin rate is expected in the mid-teens.  Based on currently expected project timing, we expect a meaningful shift in first half 2022 revenue when compared to the same period last year. First half 2022 revenue -- segment revenue is expected to range between $500 million to $600 million and first half 2022 adjusted EBITDA margin rate is expected in the low double-digit range. We expect significant revenue and adjusted EBITDA margin rate ramp-up during the second half of 2022 with second half 2022 revenue ranging between $1.2 billion to $1.3 billion and, based on this revenue expansion, second half 2022 Oil and Gas segment adjusted EBITDA margin rate in the mid- to high-teens.  As noted in our prior calls, we believe that a number of green shoots exist for this segment with future opportunities for both hydrocarbon and carbon capture pipeline services expected to develop and be awarded during 2022, giving this segment significant growth opportunity in 2023.  During the fourth quarter, we renamed our Electrical Transmission segment to Power Delivery to better reflect our expanded service offerings and capacity in the utility service market, including electrical and gas distribution as a result of recent acquisition activity. We believe that our recently expanded operations, coupled with our existing operation, provide a compelling suite of service offerings to support our customers' needs as they work to transition to renewable power generation. For the sake of clarity, based on the timing of acquisition closing, fourth quarter acquisition activity had no impact on fourth quarter Power Delivery segment operating results.  Fourth quarter Power Delivery segment revenue was $285 million and adjusted EBITDA margin rate was 7.1% of revenue. This represented a 650 basis point improvement over last year's fourth quarter results. Annual 2021 Power Delivery segment revenue was approximately $1 billion with annual adjusted EBITDA margin rate at 6.7% of revenue. It is worth noting that second half 2021 adjusted EBITDA margin rate for this segment was 8.5% of revenue, a 460 basis point improvement over last year's second half and meaningfully higher than the annual 2021 adjusted EBITDA margin rate of 6.7%.  As we look forward, we expect that annual 2022 Power Delivery segment revenue, inclusive of fourth quarter 2021 acquisition activity, will range between $2.5 billion to $2.6 billion. Annual 2022 adjusted EBITDA margin rate is expected in the high single- to low double-digit percent range, a substantial improvement compared to 2021.  Fourth quarter Corporate segment results were a cost of approximately $4 million as we benefited from expected legal and earn-out settlements. Annual 2021 Corporate segment results were a cost of $72 million or 91 basis points. When combined with income from investments, as shown in our Other segment, the combined annual 2021 Corporate and Other segment impact was a net cost of 48 basis points, in line with our expectation.  As we indicated during the Henkels acquisition call, we will integrate corporate functions over the course of 2022 and expect higher annual 2022 Corporate costs while this process is underway. Annual 2022 Corporate segment costs are expected to approximate 120 to 125 basis points. On a combined basis, 2022 Corporate segment costs and income from investments, as reported in our Other segment, is expected to approximate a net cost of 90 to 95 basis points, which equates to an approximately 50 basis point increase over annual 2021 levels.  We expect that these costs will eventually normalize back to 2021 levels as cost rationalization efforts occur during the year. While we are early in this process, our initial estimate is that we will incur acquisition integration costs of approximately $40 million over the course of 2022.  Now I will discuss a summary of our top 10 largest customers for the annual 2021 period as a percentage of revenue. Enbridge was 16% of revenue. Newly defined AT&T Services totaled 9% of revenue. As previously indicated in our third quarter filing, reported AT&T revenue amounts have been reclassified to exclude DIRECTV services for all periods as this entity has been spun off into a separate third-party entity. Revenue performed for AT&T includes wireless, wireline and other services, including smart city deployment projects.  NextEra Energy was 7% of revenue, comprising services across multiple segments, including Clean Energy, Communications and Power Delivery. Comcast, Equitrans Midstream and Duke Energy were each 4% of revenue. DIRECTV was 3%. And T-Mobile, Verizon Communications and Exelon Corporation were each 2% of revenue.  Individual construction projects comprised 62% of our annual 2021 revenue with master service agreements comprising 38%. With the combination of expected resurgence in wireless MSA work, coupled with INTREN and Henkels acquisitions whose revenues are primarily MSA-driven, we expect annual 2022 revenue from recurring-type MSA work will substantially increase and approach 50% of our total revenue.  Lastly, as we have indicated for years, backlog can be lumpy as large contracts burn off each quarter and new large contract awards only come into backlog at a single point in time. As of December 31, 2021, we had a record total backlog of approximately $9.9 billion, sequentially up $1.4 billion and up approximately $2 billion when compared to the same period last year. Importantly, Communications and Clean Energy segments' backlog both represented record fourth quarter levels, reflecting the continued strength in these growing end markets. Fourth quarter '21 Power Delivery segment backlog was approximately $2.9 billion, a sequential growth of approximately $1.5 billion, with this increase primarily due to our fourth quarter acquisition of Henkels.  Now I will discuss cash flow, liquidity, working capital usage and capital investments. We ended 2021 with $1.1 billion in liquidity and net debt, defined as total debt less cash and cash equivalents, at $1.65 billion, which equates to a 1.8x leverage metric on a stand-alone basis. And this metric is even lower if the pro forma benefit of fourth quarter acquisition EBITDA is considered. By any measure, year-end 2021 liquidity and leverage metrics are very comfortable as reflected by our recent investment-grade ratings. It is worth noting that our strong cash flow metrics as of year-end 2021 include over $600 million in fourth quarter cash acquisition outflow.  Annual 2021 cash provided by operating activities was approximately $793 million. We ended the fourth quarter of 2021 with DSOs at 77 days, excluding the impact of fourth quarter acquisitions, compared to 86 days last year. As we look forward to 2022, we continue with the anticipation that our DSO target range will continue in the mid- to high 80s. We are proud of the strength, resilience and consistency of MasTec's cash flow profile. In summary, our long-term capital structure is extremely solid with low interest rates, no significant near-term maturities and ample liquidity, giving us full flexibility to take advantage of any potential growth opportunities to maximize shareholder value.  Moving to our 2022 guidance view. We project annual 2022 revenue of approximately $9.95 billion with adjusted EBITDA of $950 million or 9.6% of revenue and diluted earnings of $5.32 per adjusted diluted share. These measures are essentially unchanged from our 2022 expectation communicated with the Henkels acquisition in December. For the first quarter, we expect revenue of $1.8 billion with adjusted EBITDA of $90 million or 5% of revenue and adjusted diluted loss of $0.12 per share.  This represents a $114 million decrease in first quarter adjusted EBITDA when compared to the same period last year. This decline is due to the combination of a seasonally slow quarter, a meaningful shift in oil and gas project activity, including the delayed start of the MVP pipeline project, timing of other project shifts and the impact of selected low-margin revenue from fourth quarter 2021 acquisitions.  More specifically, due to the project timing shifts, first quarter 2022 Oil and Gas segment revenue is expected to approximate $200 million with adjusted EBITDA in the low double-digit range. This creates a significant first quarter 2022 year-over-year decline in both revenue and adjusted EBITDA. First quarter results are embedded in our annual '22 guidance view for this segment of $1.8 billion to $1.9 billion in annual revenue at a mid-teens adjusted EBITDA margin rate.  First quarter 2022 Communications segment results will be impacted by the negative impact of wireless revenue pushing out of the quarter, new RDOF wireline market start-up costs as well as the impact of acquired Henkels' telecom revenue with low project margins and a high overhead. Accordingly, first quarter 2022 Communications segment adjusted EBITDA is uniquely expected to decrease on a year-over-year basis when compared to the first quarter of 2021.  All of these factors are expected to subside, beginning in the second quarter. And consequently, we expect sequential improvement during the second quarter with a strong second half of 2022. Again, first quarter results are embedded in our 2022 guidance view of $3.1 billion to $3.2 billion in annual revenue and an adjusted EBITDA margin rate in the low to mid-11s.  As we have previously provided color regarding our annual 2022 segment expectations, I will briefly cover some other annual guidance expectations for modeling purposes. We anticipate net cash CapEx spending in 2022 at approximately $100 million with an additional $200 million to $220 million to be incurred under finance leases. And this level includes some initial CapEx investments for recent fourth quarter acquisitions. We expect annual 2022 interest expense levels to approximate $67 million.  For modeling purposes, we estimate our 2022 share count at 76.1 million shares. And this includes shares issued in connection with the fourth quarter Henkels acquisition. We expect annual 2022 depreciation expense to approximate 3.5% of revenue. And lastly, we expect annual 2022 adjusted income tax rate will approximate 24%.  This concludes our remarks. And now we'll turn the call back to the operator for Q&A. Operator?
Operator: [Operator Instructions]. And we'll take our first question from Steven Fisher with UBS.
Steven Fisher: So it sounds like there's a variety of issues weighing on the first quarter here. I'm wondering just how much visibility do you actually have to some of these challenges moderating and then normalizing by the time we get into the second quarter.
Jose Mas: Yes. Sure, Steve. So when we think about early 2022, and we kind of compare it to historical, especially '21, right, the biggest challenge that we're facing in Q1 on a year-over-year basis is our Oil and Gas business, right? I mean, if you look at last year's EBITDA, we did $203 million of EBITDA in the first quarter, $168 million came from our Oil and Gas business. So if you look at our non-Oil and Gas business on a year-over-year basis from '21 to '22, it's almost doubling, right?  With that said, it should have been better, and we get that. So there are some pushouts in Clean Energy and Communications that we thought would have made that number slightly better in Q1. But the biggest issue we have in Q1 on a year-over-year basis is what's happening in the Oil and Gas business and really, the push-out of MVP, which is a big part of our original expectations in Q1.  So as we think about the full year, it doesn't really change our view on the full year, right? We've got excellent visibility on the full year plans of our customers in all of our non-Oil and Gas segments. So if we talk about Communications and the things that are impacting it and the opportunities that exist with our customers, we talked about in the prepared remarks, we have 35 new markets that we've opened in that business between the fourth quarter and the first quarter.  Obviously, there's some financial challenges with opening that many offices early. But the revenue opportunities that are going to flow through for the balance of the year are quite clear and visible to us. When we look at Clean Energy and the projects that we've signed with our customers, that we're working on with our customers, the reality is the amount of activity there, we think, we've got a conservative guide for the year based on -- we have concerns around supply chain and some of those things. We've built that into our forecast.  So the reality is if everything went our way, revenues in that segment would be substantially higher for the full year. But we've kind of embedded that through the year. So I think if -- we knew '22 was going to be a difficult year in Oil and Gas. We knew it was going to be a transition year. And I think it obviously demonstrates in a big way in Q1. But I feel really confident as the year progresses that the rest of the businesses will perform.
Steven Fisher: That's helpful. And then just a follow-up there on the Oil and Gas, I guess, how much confidence do you have that MVP is actually going to start on schedule again? What needs to really happen there? And what are these other awards that you expect in the second half in that segment that the confidence of the customers are actually going to move forward?
Jose Mas: Yes. So a couple of things, right? When we talk about the second half awards, which we're actually a lot more bullish about today than we've been, we haven't included any of those revenues within our expectations for 2022, right? So our '22 year is really based on work that we have on hand, some small -- obviously, there's always small work that pops in that you kind of anticipate. But that's kind of our -- how we've guided '22. Now within that guidance, there's a lot for MVP, obviously, because we're planning to complete it. So we're hopeful that if MVP doesn't kick off, some of these other projects that we're expecting might have early starts that might make up for it.  With that said, right, I mean, if you listen to Equitrans, I mean, they're working really hard to figure out how to get that project restarted. We've got a lot of work to do that really isn't impacted by some of the things that have happened. But again, it's -- there's been a lot of recent developments on that. And we'll defer to them as they talk publicly about it. But we're still very confident that, that project will ultimately get built. The question is how much of it happens in '22 and how much pushes out into '23.
Operator: We'll take our next question from Marc Bianchi with Cowen.
Marc Bianchi: I guess, the -- back to the second half implication here, there's a lot of weight in the second half for you guys here. You just went through in a lot of detail on Oil and Gas. But just maybe talk through some of the risk factors, if you could. So if we're sitting here 90 days from now and guidance is being either upgraded or downgraded, what would be kind of the top 1, 2 or 3 variables that would contribute to a change?
Jose Mas: Sure. So Marc, we think about not just the second half of the year, but really the -- how revenue goes into the second quarter, right? So if you look at our Communications business, we've got a pretty significant ramp from Q1 to Q2, which we feel comfortable about. We've got revenues increasing almost $200 million between that time frame and then another $100 million in the Q3. So even if you split it and you said $150 million a quarter, that's really not completely atypical from where we've been historically.  The good part about that is we've got the work -- we've got the work orders. Obviously, we've got to work through the material deliveries to make sure all of that is there. But we feel very confident that we've made the right decisions and we've hired the people and put the plans in place to be able to execute on that. And if you look at Clean Energy, it's similar, right? We've got a ramp from Q1 to Q2 of almost $150 million, a further ramp in Q3 to about $100 million. All of that is identified with customers that have awarded work. We've gone through those projects and assessed where they are from a permitting perspective, material perspective and made our best estimates relative to that today.  Like I said to Steve, one of the things that we're pretty excited about is if you look at Clean Energy, if everything went our way, there's substantially more revenue that we could accomplish in '22. And I think we've been very conservative is how we've looked at it, looking at the second, third and fourth quarter. Again, on a year-over-year comparison, our first quarter is actually almost double from an earnings perspective from a non-Oil and Gas environment. I know it's not enough. It's not where we want to be. But I do think it's important to note that.
Marc Bianchi: Great. And then the second half -- and I know this isn't -- there's a fair amount of seasonality that the business has and maybe the second half is generally higher than the first half because of the seasonality effects. But if I just kind of annualize where you are here and where you're sort of pointing us for the second half, it looks like revenues -- and a lot of information from George that I still need to unpack, but it looks like revenues may be $11.5 billion on an annualized basis and EBITDA is maybe in the $1.3 billion range. I mean, as you step into '23, what would you sort of point to as moving those numbers up or down? And also curious if you kind of agree with that, that quick math on the second half.
Jose Mas: I'll let George address the second half. When we talk about '23, I think if you look at our full year '22 and you look at what's happening, right, our Oil and Gas business will be down about $900 million organically. So if you take where we finish '21 and we've guided '22, our '22 guidance includes about $200 million of Oil and Gas work from Henkels, so if you back that out on a pure organic basis, we're down $900 million. If you look at our non-Oil and Gas segments organically, right? They're growing about $900 million. And the balance is our acquisition revenue that gets us to where we need to get to, right? So we feel really comfortable that, that's going to play out, right? And again, we've kind of done this on a project-by-project basis, working ourselves all the way up.  I think the important part of that story, when you look beyond '22, is the fact that we think our business has the ability to grow by over $1 billion, as we'll demonstrate in '22, I think we'll demonstrate it again in '23, which gives us significant confidence as to the profile that we laid out. So I mean, just taking a step back, a few months ago, we laid out a longer-term range of $3 billion to $3.5 billion in our Power Delivery business, $3 billion to $3.5 billion in our Clean Energy segment, $3.5 billion to $4 billion in comms and $1.5 billion to $2 billion in pipeline. And I think that the reality is that the lower end of those ranges, we think, are very achievable in '23, just based on the growth rates that we expect in 2022 on our non-Oil and Gas businesses. George, do you want to talk about the second half?
George Pita: Yes. I mean, what really happens, and this is not unusual, is typically our second half of the year has a higher revenue component than our first half. And say, for 2022, that might be a little bit more pronounced because of the shift that's happening in Oil and Gas. But across most of our businesses, when you look at Communications or all the other ones, really that's not an unusual factor. And typically, it leads to more than -- if we're looking at the year, I'd say somewhere in the high 50% to low 60% range of the revenue is done in the second half of the year and it's closer to the 40-something percent in the first half.  And that's the expectation again this year. And when you look at some of the things we've talked about, ex Oil and Gas, right, on the Communications side, we've talked about certain things that are really going to be ramping up here as we move out throughout the year, both in terms of new markets that are starting up and also wireless spending that's really ramping in the second -- starting in the second quarter into the second half. They're all really, in our minds, very clear and evident, right, in terms of the trends that are happening. And that's what's baked into our guidance view, which we feel very comfortable with for the second half of the year.
Operator: And we'll take our next question from Fahad Nadeem with Goldman Sachs.
Fahad Nadeem: So first, I wanted to ask about the timing on some of the delays related to materials availability in Communications and Clean Energy. So can you provide some details on what parts of the businesses are being most affected? Like in Clean Energy, is it centered more on solar? Or is it really across wind, biomass and the construction piece as well? And then in Communications, is there kind of a difference between the wireless and wireline? Or is it also more broad-based?
Jose Mas: I guess, the easy answer is it's pretty broad-based. To give certain examples, if we think about our Communications business, the crazy part about it is it's not the big items, right? In wireless, it's not the radios. It's not the fiber in wireline. But it's the miscellaneous-type supplies that are becoming harder to get, the jumpers in wireless, the pedestals and handholds on the wireline side. So it's stuff that I don't -- I think they're going to be easier to fix, right? I think they're supply chain issues that are more transitory in nature when usually you worry about the major supplies and it's some of the smaller stuff that I think has been having a bigger impact.  When we think about Clean Energy, obviously, the biggest concern in that business is probably the panels on the solar side. But a lot of the same issues, where a lot of the minor material might be missing. And obviously, delays of project makes you jump around a little bit. Some of those things, our customers are responsible for. So we've got obviously ways to offset that. But from a schedule perspective, it delays you and it doesn't allow you to capture revenues of the way that we can. So look, I think everybody is really mindful of it.  And I think what's happening in the market is everybody is waiting to start to make sure that they don't want to start with things that are missing, which I think is the right thing to do. But what that does is pushing project starts back a little bit. But I think the good thing is once you start on these projects, you don't have the starts and stops. And I do think that's really important from an earnings perspective. And we're encouraging our clients and our customers to do that as well. And I think that's currently what's happening. And it's part of the reason for some of the push into Q2 and into the second half of the year.
Fahad Nadeem: Got it. And then just as a follow-up, on the guidance for Power Delivery in light of the H&M acquisition, can you talk to some of the assumptions that are baked into the H&M piece of the margin guide specifically, given H&M's relatively lower margins last year? And do you have more -- I mean, and since the acquisition, have you all learned more on kind of what drove the margin difference between the H&M and legacy MasTec side, maybe some specific troubled projects?
Jose Mas: Yes, it's a great question, right? So when we announced the Henkels & McCoy acquisition, we talked about roughly 4% to 5% EBITDA margins. If we talk about -- if we think about using the $70 million number on a full year basis, they have multiple businesses, right? So we've kind of split them within our business. There's going to be a component that falls in Communications, a component that falls in Oil and Gas and a component that falls in Power Delivery.  I mean, the reality is that their best margin component of the three is Power Delivery. So it's having more of an impact on our Communications margins, quite frankly, and in our Oil and Gas margins. On a Power Delivery side, they're not at the same level that we were, but they're a lot closer. And then they have a very high corporate cost that is also reflected, I think George spoke about that in the comments. So as we look at it, it's probably the strongest of the three and probably the most important because it's where we think we'll end up growing the most.  From an integration perspective, maybe just to touch on that, we couldn't be more excited. We've learned a lot more about the company in 2 months. We think the opportunities far outweigh anything we could have imagined going into this. Again, we almost feel like what we've included in our annual guide is somewhat conservative. We think that over time, in the not-too-distant future, we'll be able to get them to 8% to 10% EBITDA margins, which is a substantial increase from where they've been.  It's going to be hard to get there in 2022 because we've got a lot of things we need to clean up and work on. But when we look at '23 and beyond, we're super excited about what we think we can accomplish there. And quite frankly, we're hopeful -- to some of the earlier questions about what could positively impact our year, right, it's outperforming what we're guiding there and being able to take advantage of some of the synergies and some of the things that we see there in terms of improving the business faster than we expected.
Operator: And we'll take our next question from Jamie Cook with Credit Suisse.
Jamie Cook: I guess, two questions. One, Jose or George, I'm just trying to understand better the EBITDA ramp for 2022. So can you just help me? I think the second quarter is critical. Do we expect EBITDA to be up year-over-year, flat? Just any color on the second quarter, just given the weak start to 2022. And then I'll ask my follow-up after that.
Jose Mas: So if you look at Q2, we're expecting to be slightly under where we were in the previous year. A lot of that is also going to be driven by Oil and Gas, right? Oil and Gas, we probably think will be down about $100 million. And we should be down somewhere between $25 million to $50 million in the second quarter on a year-over-year basis. So a lot closer to where we were last year, offsetting a lot of the Oil and Gas drop-off with the rest of the business.
George Pita: Yes. Jamie, we'll certainly see a sequential improvement on the Communications side with more dollars versus last year for sure, an improved rate, certainly. And then I think that what we're seeing is again across our non-Oil and Gas segments, that those items in the second half of the year continue to ramp and express themselves more fully, right? So we have a couple of things going on.  The first half of the year, we have a bigger -- a much bigger drop happening in the oil and gas space year-over-year, which is impacting our total numbers. That's less pronounced -- much less pronounced in the second half of the year. And then you add to that, that the non-Oil and Gas segments are improving each quarter, and they continue to improve from Q2 to 3 to 4, and the combination is where you end up with the mix guide that we have in the second half.
Jamie Cook: Okay. And then I guess, the other thing that sort of struck me about your guide is the Communications margins in the back half of the year finally coming in at a very healthy rate. So I guess, my question is while you probably don't want to talk to 2023, given the revenue trajectory and better utilization and projects ramping, to what degree are those margins in Communications sort of structurally at a higher level as we think about going into 2023?
Jose Mas: It's a good question and it's something we should achieve, right? So if you look at the second half of the year, we should be north of 12% in both of those quarters. And I think that's a proper estimate to take into '23 on a full year basis.
Operator: We'll take our next question from Noelle Dilts with Stifel.
Noelle Dilts: I had a question on Communications. So on AT&T's call, they talked a bit about this idea that they would ramp on 5G deployments in late spring, early summer as the radios became available for this recently awarded Auction 110 spectrum and then they could do a single-tower climb for the C-band spectrum awarded last year. Is that really what we should think about as the kind of key factor in AT&T's timing, being the availability of these radios? Any thoughts on that would be great.
Jose Mas: So I think it's both of the things that you mentioned, Noelle. I'm not -- we're not actually very worried about the radio supply chain. I think that it's been somewhat delayed. So I think there's plenty of time for that to work its way through the system. The bigger issue is their desire to do the double spectrum on the one tower climb. And I think that's where they're going to end up. And once they start, we think that's -- it's going to have a huge impact on our business because we've obviously been waiting for them to get going for a long time.  And I think once they get going, it's going to be a meaningful shift to our business, and it's going to last for a really long time. So we're excited that at least we have clear direction. Obviously, we would have loved for it to have started faster, and it's part of what's going on with our first half of the year. But I think they've been -- I don't think they could be any more specific than the comments that he made yesterday. And I think that's what we expect. And again, once it starts, we're pretty excited about what that means for us.
Noelle Dilts: Okay. Great. And then could you just expand upon the type of work you have remaining for MVP? Is it still just mostly water crossings that have to get done?
Jose Mas: Obviously, the difficulty with MVP is a couple of miles that are really causing a lot of the angst and issues. There's a lot more to do than that. I don't want to publicly get into -- because I don't know what our customer has said publicly, so I'm going to refrain from talking specifics. But there's a lot of work that we can do that isn't really impacted by the decisions. There's some work that we can't do that is impacted by the decisions.  What they ultimately decide to do relative to the full route is going to depend on when we start and how quickly we finish. And again, it's -- there's been a lot of change in that here in the last few weeks. So we've kind of really pushed that way deep into the year. And I think if we've got to make up for it, we've got opportunities to do that and we'll be really forthright as we know more. But right now, we're going to defer to them to make comments on the constructability and where they are.
Operator: And we'll take our next question from Andy Kaplowitz with Citigroup.
Andrew Kaplowitz: Jose, could you give us a little more color on what's happening in Clean Energy? You did seem to improve margin a bit in Q4. I think you gave that 7% margin guidance for '22. So would you say that you've gotten over the hump in terms of margin performance in the segment? And then obviously, there's been a fair amount of consternation in wind markets, given the PTC uncertainty. So I know you're still forecasting almost 25% revenue growth for the segment. But what's embedded in your outlook for wind?
Jose Mas: Yes. So Andy, I guess, to start with margins, right, I mean, it's not -- the challenge with the business is margins aren't constant, right? So we're not going to -- even though we say 7% for the year, it is seasonal, right? First quarter is going to be lower because there's a number -- they do a lot of work in the north that's impacted by weather. So margins will be lower in Q1, they'll pick up in Q2, they'll be strongest in Q3, they should be strong in Q4. And the blend of that, we think, will be 7%, right, for the year or close to it. And we're -- we've worked it up on a project-by-project basis to get there.  Our view on wind is wind will be down in '22 versus '21. It was down in '21 versus '20. Solar is going to be way up for us. And the reality is, like I said earlier, right, we've taken very conservative views on the revenue attainability. So if things went our way, revenues are going to be substantially higher in this business than what we forecasted. '23 should be an incredible year relative to bookings and what we're seeing from customers. And long term, our view hasn't changed, right?  We think this -- we don't think 7% is the right margin profile for the business. We're growing at a considerable rates. And that growth is coming at a costs. We're doing it predominantly organically, which is expensive. But we think when we look at the outer years, it's going to be a business that's going to approach double-digit margins with very, very strong revenue. So I think the earnings potential in the business over the next 2 years is fantastic.  And I think the problem projects that probably depressed margins through '21 that we've talked about, for all intents and purposes, they're behind us, right? We might have a little bit of bleed into Q1 and we had some in Q4. But outside of that, those projects will be done. Quite frankly, the project mix right now is really good. We're performing at really high levels across our full book of business and we're pretty excited about that. And if we can continue on that, again I think the second half of the year going into '23 is going to be fantastic.
Andrew Kaplowitz: And Jose, maybe you could give us more color -- I'm sorry, go ahead.
Jose Mas: No, it's a siren, sorry.
Andrew Kaplowitz: Got it. Jose, so maybe give us more color on the new RDOF setup that you have, how much is it costing you in Q1? And then all this extra fiber activity, I mean, you're bullish on fiber before, but this seems like a new level of activity. Does any of it have to do with sort of the infrastructure money coming in later this year and '23?
Jose Mas: Yes. What we're gearing for up today is based on money that's already been awarded. It was part of the original RDOF rounds. The truth is that -- and this is our challenge, right, that the opportunity subset only continues to increase. We're in discussions for certain things that are really meaningful, that could have a very meaningful impact to our business. And the reality is that we don't have that embedded. So we've taken our full year guidance and we're talking about low to mid-11s. And that's probably lower than what we've talked about in the past. And the reason for that is we're investing in the business because we expect a lot more growth than what we'll even see in '22.  And these offices, obviously, when you start an office, it's expensive. You don't have a lot of revenue coming in, you're gearing up and your first few months are tough. And that's kind of what we're seeing. We saw some of that in Q4. We're going to see more of that in Q1. I think it begins to subside in Q2 as you're actually ramping and running on those projects. So we think we're making the right decisions for the long term of the business and the long-term opportunities in the business. But it obviously comes at a short-term cost.  And we understand the frustration that exists in the market relative to margins, right, both in Communications and Clean Energy. But again, we think that the market affords the opportunity right now to invest in these businesses in a meaningful way. We think we're going to get a great return on that investment. We've decided to do this predominantly organically, which is a lot more expensive, but over time, a lot more valuable. And that's kind of what you're seeing in both of those segments.
Operator: And we'll take our next question from Justin Hauke with Robert Baird.
Justin Hauke: So most of my questions have been answered. The question, I guess, I had was relative to the guidance framework you gave back in late December, where the EBITDA was on the higher end, it was going to be closer to $1 billion, I'm just trying to understand the weakness -- the incremental weakness in Oil and Gas and Communications.  Is that more a reflection of both your organic portfolio in Henkels & McCoy? Or is it a function of just getting closer to what was already known as kind of the challenges of the Henkels & McCoy portfolio that you were bringing in, in those specific verticals? I'm just trying to understand if it's a general -- maybe just where the source of the moderation is.
Jose Mas: Look, in Communications, it probably has a little bit more of an impact because although the revenues aren't that big, it's -- from a margin perspective, it has a slight impact. I think volume is really what's driving the early issues, right, with the margin profile in that segment. Henkels obviously isn't helping relative to that. From an Oil and Gas perspective, I think it's a more macro issue, right? As we look at '22, we just -- we know it's going to be difficult that there's a -- it's almost scary to say, but there's an enormous amount of demand and interest in gas projects that we haven't seen in a long time. And we're very bullish that a lot of these projects are going to come to fruition, and they're pretty exciting.  But the reality is we think the likelihood of that happening in any meaningful way in '22 is pretty low because of all of the issues that exist in the market and the supply chain issues that exist. We think it bodes incredibly well for '23, but '22 is challenging. And quite frankly, as MVP moves, there's not a lot of opportunities to make up that revenue with the level of work that exists out there. So it's having a bigger impact on us than we probably would have wanted. But that's all embedded in the numbers that we've laid out today.
Justin Hauke: And then maybe just asking one other question on MVP, to the extent you can answer it this way maybe, just because it is a discrete project and it's something you're calling out, maybe just how much revenue is embedded in your '22 outlook specific to that project so that we kind of have something to know. If that faces further delay, how sensitive is your guidance to it?
Jose Mas: Yes. It's a tough question to answer because we think there's opportunities to offset some of that revenue in the back end of the year, which we didn't include in guidance. We have, I'd say, about $500 million in anticipated MVP revenues that either we'd have to do some work on them or fill that with something else. The reality is that the revenues will never be 0 because they've got an active pipeline that's under construction that they have to maintain. So there's a level of service that we will always provide on that job. But those are -- that's kind of what's baked in at this point.
Operator: And we'll take our next question from Adam Thalhimer with Thompson, Davis.
Adam Thalhimer: Just one question. On 5G, Jose, you talked about AT&T. Can you round out the discussion and just kind of give us a little insight into Verizon, T-Mobile and DISH?
Jose Mas: Yes. Thanks, Adam. Look, I think AT&T, obviously, we talked about, it's going to be a second half build. I think T-Mobile, I'm not 100% certain, but I think this was the first time that T-Mobile hit our top 10 customer list. I think that our growth with T-Mobile in 2021 was exceptional. I think our business with them going into '22 is going to be really strong. We're super excited about what they mean to us as a customer and what it's going to mean long term. I think Verizon is in a similar boat. I think we've now won more Verizon wireless work than we probably ever had. They're similar to AT&T in that they had all the spectrum issues at the end of '20. But I think they'll be more active in the first half of '22. And then DISH is really getting started, right? So I think on DISH's call yesterday, they talked about the challenges that they've had ramping up. But the commitment that they have to ramp it up, they laid out a number of initiatives to hit some targets in June -- by June of '22, but then quite frankly, what they're going to do going forward. I think we -- again, we talked about being in 17 of their markets currently, which is pretty good market share.  I think the opportunity with them -- they're building a whole new network, right? There's a whole new wireless carrier that's being invented, so the opportunity is significant. I think will be a major player for them and a partner. And so when you add up what we've been able to accomplish with T-Mobile, the success we're having with Verizon, the success and potential we have with DISH and AT&T finally getting back rolling, the reality is that it should bode for an incredible second half of the year for us in that market.
Operator: And we'll go to our final question from Sean Eastman with KeyBanc Capital Markets.
Sean Eastman: The Power Delivery guidance for 2022 actually looks like it was increased pretty meaningfully on both the top line and margins relative to what was framed back in December. So just curious what's moved there, what's going better in that segment?
Jose Mas: Well, first, the acquisition that we made early in '21 of INTREN and our legacy business, I think, have both performed really well and have won a lot of work. So we're very bullish on both of those. Again, as we've kind of dissected Henkels, their power delivery business is actually, we think, the best component of that. When you take out a lot of the corporate costs that they had that was dragging down their margins, we've moved it into our corporate costs as well, right, which is increasing our total corporate cost. But from a segment perspective, it's -- their margins are a little bit better than maybe we had originally anticipated.  What we haven't embedded in this, quite frankly, is the growth opportunities that they have. So we feel good about hitting this margin profile. And more importantly, we think that as we look forward and we get some wins and some opportunities, we're going to be able to meaningfully grow their business and over time, continue to improve their margins. They still lag the balance of our business margins within that segment, right? So they're still dilutive to the segment. But I think over time, they should be accretive to the segment. So I think there's a real big swing we can create with their assets.
Sean Eastman: Okay. Got it. That's helpful. And then just in light of you mentioning the carbon pipeline opportunities potentially going this year, obviously, we're tracking a few very large pipelines in that space. But one thing I've noticed is that the diameter of those pipelines has a big range, right? It seems like some sections are -- you have quite small diameter. So does that suggest maybe MasTec is only going to be looking at a portion of those pipes, maybe there's more competition on some portions of those pipes? How should we think about that?
Jose Mas: So two things, right? I think when we think about the pipeline business, there's lots of different areas of the business, right? We have -- what we've historically done on the -- especially on the gas side, we've always been predominantly gas. I think that business will show a lot of strength in '23. I think there's a lot of projects that will be awarded in the second half of this year that are going to be quite exciting.  When we think about the newer technologies, whether they're carbon-based or hydrogen, it's a new market, right? It's a market where the customers are different, the work is slightly different, although it's very similar. And I think it's going to draw different players. I think from a national perspective, I don't think anybody has a resume that we do, regardless of size of pipe or what needs to be done. And I think we can be competitive at any type of job.  So we would hope to participate in those as the years go on. We want to do it right. There's no reason to buy jobs. But quite frankly, we think there's a lot of opportunity related to those. And there's going to be a lot of opportunities in the future related to those. So it's a very exciting dynamic of what's happening in the market.
Operator: That concludes today's question-and-answer session. I'll turn the call back to Jose Mas at this time for any additional or closing remarks.
Jose Mas: So again, I just want to thank everybody for their interest and their participation today. We look forward to updating everybody as to our progress throughout 2022 in the coming months. Thank you for joining.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.